Operator: Good afternoon, ladies and gentlemen. Welcome to the Altus Group's Third Quarter 2020 Financial Results Conference Call. During the presentation, all participants will be in listen-only mode. As a reminder, this conference is being recorded. I would now like to turn the conference over to Ms. Camilla Bartosiewicz. Please go ahead.
Camilla Bartosiewicz: Thank you, Laurie. Good afternoon, everyone and welcome to Altus Group third quarter results conference call and webcast for the period ended September 30th, 2020. The news release announcing our results was issued after market close this afternoon, and it's also posted on our website along with our MD&A and Financial Statements. Joining us today are Mike Gordon, our new Chief Executive Officer, who officially joined at the end of September; and Angelo Bartolini, Chief Financial Officer. We'll start with some prepared remarks and then we'll move right into the Q&A session. If we miss any questions, please contact me directly by email. Before we get started, please be advised that some of our remarks on this call may contain forward-looking information. Also, please be reminded that Altus Group uses certain non-GAAP non-IFRS measures as indicators of financial and operational performance. Forward-looking statements and an explanation of these measures are detailed in today's news release, and in our related reports on SEDAR. And with that, I will now turn the call over to Angelo.
Angelo Bartolini: Thanks, Camilla and thank you all for joining us this afternoon. We hope you're all safe and healthy. On today's call, I will begin by covering off the performance in the quarter. And then you'll hear from Mike, who will share some of his thoughts on the business, what attracted him to Altus and where he sees the opportunities ahead. So let's start with our third quarter results. We were pleased with our execution in Q3, steady top line growth and strong earnings performance, improving our consolidated margins to 18%. On a consolidated basis, revenues were up 6% to $135 million and adjusted EBITDA was up 28% to $24 million, driving a notable improvement to adjusted EPS at $0.40. We're really pleased with the exceptionally strong performance from our Property Tax Group, and the sustained double-digit growth in our over time revenues in Altus Analytics, as we continue our transition to a SaaS model. As the CRE industry continues to navigate through a challenging external environment, our industry-leading solutions and services are driving significant client value. Our Q3 results speak to this further validating that Altus Group has a high degree of revenue stability during CRE market cyclicality, and that many parts of our business are countercyclical. Clearly, we're able to sustain good productivity levels where the majority of our workforce continues to work remotely. We continue to adhere to guidance of local and global health authorities, the health and well-being of our people, clients and communities remains our top priority. Turning to the individual segments at Altus Analytics, we continue to make progress against our multiyear transition to a primarily over time revenue model through a shift to cloud-based subscriptions for ARGUS software, given the first year of this shift, and it combined with ongoing COVID-related pressures on some parts of the software business, Altus Analytics' revenues were down 2.5% to $49.2 million, although earnings improved by 7% to $11.1 million. But most notably, over time revenues, our key metric, were up 12% to $41.4 million. To add some color on the revenue performance, as you're aware at the start of 2020, we made the full shift to subscription model for all our ARGUS software products. And as you know, although this transition creates a stronger long-term economic model, revenue growth is muted initially, as upfront perpetual license revenue is replaced with ratable over time revenue. For context, this time last year, we recorded roughly $3.5 million in upfront perpetual license's revenues that did not reoccur this year. The COVID-related pressure was primarily on our point in time revenue streams, such as software consulting and training services, which were down year-over-year. Similar to last quarter, we felt the impact of lower sales volumes in the SMB space and overall prolonged sales cycles, especially for the larger deals as companies recalibrate for the new normal. Given the current environment of rising COVID cases, we expect this to remain an impact on our performance into the fourth quarter. I would also add many of our existing customers continue to expand the use of ARGUS Enterprise as they realize substantial value from the software, especially during this time, and this includes expansion of cloud deals. Overall, our pipeline is stable, especially with some attractive higher ACV deals that we're working on in closing in Q4. Most notably, our over time revenue base continues to build with sustained double-digit growth. I should point out that on a sequential basis, however, over time revenues were down 3% impacted by the FX headwind of 3.9%, compared to Q2. The strength in overtime revenues reflects a strong software subscription revenue base as a reflection of the economic model of both, current and past deals, higher subscription license sales, reflecting sustained customer expansion and a steady addition of cloud clients, a steady maintenance revenue base supported by a 94% retention rate for ARGUS Enterprise, which by the way, we expect our retention rate to remain stable in the mid 90s range. And finally, the strong over time revenue performance reflects continued strength in Appraisal Management and Canadian Data Solutions. At Appraisal Management, the external environment reinforces the strategic value we bring to our clients. We're benefiting from increased business development and brand awareness initiatives, as well as technology enhancements that are allowing us to drive more client value with data analytics. Overall, we're seeing continued growth from our existing client base, as our customers add more properties on our platform and launch new funds, which include open, closed and separate funds. And geographically we're benefiting from growth of new funds and new clients in the US and internationally. As we look ahead to next year, we're evolving our go-to-market strategy and ensuring better integration with our ARGUS solution sets. A big focus next year, we'll be integrating our DataExchange analytics platform with ARGUS Cloud. We want to leverage Argus APIs and other cloud capabilities to not only ingest data from AE in real time, but also convert from file-based model sharing to hosting a model in a central place, inviting others to update. And in Canadian Data Solutions, we continue to see healthy demand for our national data. On the earnings front, we saw a notable improvement, including 23% margins, which after the bonus allocation that takes place in Q4 puts us on track to finish the year within our expected margin range. We would add that improvement in year-to-date margins includes the benefit of the restructuring program that we initiated near the end of Q2, but we'd also remind you of our intention to reinvest for emerging opportunities, and to strengthen the capabilities and support of our long-term strategy. And, of course, it reflects some of the cost savings realized this year from reduced travel and marketing events. With respect to our cloud subscription strategy, we continue to make progress and you'll hear from Mike shortly on his assessment. Some highlights. Based on our year-to-date performance, well over 80% of our Altus Analytics revenue base is now over time. Our customers have fully accepted subscription contracts. This hurdle is now behind us. We finished the quarter with 10% of our total ARGUS Enterprise user base contracted on the ARGUS Cloud platform. This is still SMB-driven as planned, but we expect adoption to accelerate before the end of the year and into 2021 as larger deals come to fruition. The recent release of AE included the federated single sign-on feature will be key for some of our larger clients to move to the cloud. We remain focused on the migrations, and it's fair to say that pandemic has reinforced the strategic benefits for companies to be on the cloud. Overall, we're still on the path to migrate the significant majority of our ARGUS Enterprise users to the cloud by the end of 2023. Overall, we're seeing continued momentum as we're now approaching 950 ARGUS Cloud customers. This includes both new AE customers as well as those who have migrated from the legacy on-premise version, and with the introduction of ARGUS Developer on the cloud this year, we have over 1,000 customers on our cloud platform. Plus, in support of our strategy to serve the market with an end-to-end platform solution for asset and investment management. We remain focused on multiproduct enterprise deals, while continuing to integrate our solutions and shift our sales focus from point solutions to value-based selling. I would like to illustrate this by highlighting a couple of interesting Q3 deals. One of our longstanding ARGUS and Appraisal Management clients, Invesco expanded their engagement with us through a managed service capacity for CRE data management through ARGUS Voyanta. As part of this service, our team will manage all of their data ingestion, aggregation and analytics for their European operations. Another example, during the quarter, we also signed a deal with a mid-sized CRE investment firm, where we combined our Appraisal Management offering with ARGUS Enterprise and ARGUS Taliance for their fund modeling and forecasting needs. A classic combination of how we can serve our clients' needs with expert advisory, data analytics and software. As we look ahead, we'll continue to feel the impact of the model transition, as well as COVID into Q4. But we do feel good about the opportunities for 2021, as our pipeline of opportunities builds, sales activities ramp up and as SMB volumes and software services begin to gradually rebound. Overall, the acceleration of digital transformation in the CRE industry is a positive catalyst for our long-term strategy. As you'll hear from Mike shortly, we remain favorably positioned for continued long-term growth, and there are opportunities ahead that he'll be focused on. Moving on to our CRE Consulting segment, another solid quarter of excellent execution during a period of disruption. At our global Property Tax business, the strong momentum following Q2 continues. Q3 revenues were up 18% to $58.2 million, and earnings were up 37% to $20.2 million, driving 35% margins. We had strong double-digit growth in the UK and in the US, where we benefited from both the acceleration and catch up of case settlements, some of which were previously held up due to COVID-related slowdowns. In addition to catching up on some Q2 delays, we also saw some expected Q4 settlements come forward into the third quarter, both the UK and US. I particularly point this out given the existing consensus estimates that were made for Q3 and Q4. In Canada, Ontario had a temporary slowdown of settlement volumes due to COVID-related delays, as well as weaker year-over-year comparative performance in Manitoba and Alberta, were more favorably positioned in their respective cycles in the prior year. Overall, we're having a great year. We're seeing higher appeal settlement volumes, higher success rates, and higher savings for our clients. Our pipeline continues to grow, as measured by volume of appeals on hand, and by total value. We continue to onboard new clients and more properties onto our platform, thus increasing our market share. Property assessment values continue to rise, and we see greater opportunities for savings, particularly in disruptive times like these. Lastly, with the investments we are making on our technology platforms, we expect to see the continued benefits of improving our CRM and business development capabilities, creating greater efficiencies in our workflows and capturing greater appeal savings through data and analytics. With the strong results year-to-date, we are very well positioned to post record revenues for the year, achieving another important milestone. This strength should continue well into 2021, given the strength of our pipeline and the extension of the tax cycle in the UK, which gives rise to another year of annuity billings. This of course, is contingent on our ability to continue to close appeal settlements as expected. But the uncertainty of COVID and its implications on tax regulations, economic and market conditions continue to persist. And we continue to monitor the situation closely. Long-term, we continue to see great growth opportunity as we differentiate ourselves from our competitors, and grow our market share. Our Valuation and Cost Advisory businesses continue to deliver steady performance in these unprecedented times. On balance, we're maintaining our revenues with strength and our core practices, and navigating carefully around some of the pandemic-related challenges in the industry by focusing on unique opportunities in sectors, such as seizing the momentum of more frequent valuations and capitalizing on opportunities and infrastructure and distressed real estate deals. Turning to our financial position, our balance sheet remains healthy. At the end of the quarter, bank debt stood at $153.5 million down from last quarter, representing a funded debt to adjusted EBITDA leverage ratio of 1.49 times, well below our maximum limit of 4 times. Our cash and cash equivalent was $91.1 million. On a net cash basis, our leverage ratio is 0.7 times, debt to adjusted EBITDA. So before I turn it over to Mike, I trust your share on our enthusiasm that Mike has agreed to join Altus Group as our next CEO. Having spent quite a bit of time with Mike in these past couple of months, I can tell you, he's already making significant contributions with his fresh perspectives, and challenging the team in new ways. He's a visionary CEO and the right fit for our company, experience-wise and culturally, with his high emphasis on client success and people. He's well equipped to build on the strong foundation established by Bob and lead our company into the next stage of growth. With that, I'll now turn it over to Mike.
Mike Gordon: Thanks, Angelo. I appreciate the vote of confidence and good afternoon, everyone. It's been a pleasure to connect with many of our shareholders and analysts over the past several weeks, and I look forward to our ongoing dialogue. To start, I wanted to congratulate Bob on his well-deserved retirement after a very successful career and thank him, Angelo and the Board for the ongoing support through my transition. With Bob at the helm, the team has built a business that's revolutionized the CRE market, and we're far from done. I'm very excited to be part of that and it's an honor to follow on Bob's footsteps to lead this great company. Like many of our shareholders, I was attracted to the opportunity at Altus Group for both its many strengths and its immense potential. As I studied the company, Altus Group had all the hallmarks of what you'd expect from a great business with a very purposeful transition of the analytics business to the cloud, and the logical progression towards an information services model. But let me tell you, I have big aspirations, and I believe we can make this great company even better. There's higher potential to unlock and grow value. With the two core business segments on a solid trajectory and the cloud transition underway, we're now at a great inflection point in our strategy to become a leading CRE information services provider. For me personally, this is an exciting time to join. Altus was the right next chapter of my career. And frankly, my background in software, analytics, services and data is uniquely tailored for the strategy we're on. Through my experiences at FICO and Callcredit, I have a good handle on what it takes to realize our potential and the next steps we need to take. I'm definitely fired up. I'll give it my all. I'm about 45 days in now, but happy to share some of my preliminary assessments. I spent the last several weeks studying the products and assessing our competitive position and addressable markets, also doing a deep dive on the operating structures, including evaluating talent, sales capabilities, product development and technology systems. I've also had the ability and opportunity to connect with a number of our shareholders and starting to connect with some of our largest clients. Having spent time with the Board, the management team and having the opportunity recently to dive into our budget cycle and strategy sessions, I'm impressed by the great shape of the businesses in, particularly against the backdrop of the pandemic and the majority of our workforce still working remotely. Without a doubt, we have a very coveted market position. And I'm especially impressed by the quality of the team. The powerful combination when you have both market expertise and technology preeminence. So what attracted me to Altus? I was drawn in by the potential, but here are the top five strengths that got me excited, and I've been able to validate over the past several weeks. First, we have two high quality business segments, each with its own growth potential, mission-critical products and services that are in non-discretionary demand with utility in the market. Our Altus Analytics Solutions are highly strategic to our clients. In many cases, embedded in daily workflows where replacement costs are high. And our CRE Consulting Services drive significant quantifiable value for our customers. Second, we have exceptionally strong competitive moats. And with a global footprint, we're years ahead of the competition. I admire the innovative culture that's in Altus's DNA. This is not a sleepy organization. The team is very focused on strengthening and protecting our competitive advantages. Third, we have a solid recurring revenue base and we're poised for long-term profitable growth. In addition to our growing over time revenues at Altus Analytics, a high majority of our CRE Consulting revenues are in fact, quite repeatable. Our performance during this pandemic speaks to that. Fourth, we have deep-seated client loyalty with a world-class global customer base comprised of the largest and most influential companies in commercial real estate, this is something not to be taken for granted. In many cases, we are integral to their operations. This is a direct reflection of the bench strength and the talent on our team that is required to achieve that. I'm a big believer in customer satisfaction as a foundational building block, and that's an area of focus for me right now. Something that I will assess through a formal customer survey, and the many meetings that I'm already taking with clients to influence our path forward. And finally, I see a long and global growth runway ahead, supported by the steady demand trends, even though and perhaps longer-term accelerated by COVID, as the CRE industry continues to prioritize digital transformation, although many of our products and services have the market leadership distinction, my assessment is that we still have limited penetration on a very sizeable global addressable market, both with our current solution set and from emerging opportunities and adjacencies with tax and data that will allow us to grow our footprint and add new revenue streams. Next, I wanted to address something that's been topical in my conversations with investors. My assessment of the strategy, the company is on, and specifically the path for Altus Analytics. I'll answer this very simply, I support the current strategy. I think we're on the right track and I look forward to building on it. For our CRE Consulting businesses, we will continue enhancing each practice with a balanced view of pursuing revenue growth and maximizing margins. At Property Tax, our focus remains on market share gains, operational improvements to enhance the already strong economic model and accelerating digital transformation to better leverage data and technology and digitize certain processes. I believe that Property Tax can sustain robust top line growth and strong margins. And although it's already a strong performer, I think there remain opportunities for improvement as we bring the three national divisions closer under a global model and over time shift the value proposition to Property Tax information services. This transformational potential is there. For the Valuation and Cost Advisory businesses, both of which are well established market leaders will maximize opportunities to stimulate top line growth. But we'll also be taking a hard look at the cost base to optimize margins, which I believe can be achieved with [debt] [ph] enablement. Our investment and innovation focus will continue to be centered on the Altus Analytics' segment, where we can best leverage our global operating model and the sizable addressable market ahead of us. The vision remains as it was, to build a global CRE enterprise platform solution that integrates software, analytics, advisory and data to help our customers enhance the performance and value of their CRE assets and investments. I think we have a great foundation in place with a mission-critical product set, but our evolution in sales execution, go-to-market alignment and product development continues. Completing our transition of ARGUS Enterprise to cloud-based subscription contracts is central to our vision and required to enable us to realize our potential in the fourth leg of the stool here, predictive data analytics, an area where we have potential to drive immense value for the industry and our customers. As you heard from Angelo today, we're making steady progress with our cloud transition. Having gone through 2 SaaS transitions in my past roles, I have a good line of sight on where we are on the adoption curve, and what needs to get prioritized to reach our aspirational goals. Although the pandemic is presenting us with some short-term challenges in certain areas of our business, we have multiple strategies that we believe will help us achieve the aspirational goals that were set out for 2023. To share some preliminary observations and areas of focus where I see opportunity. The CRE industry is maturing, opening opportunities for ERP systems and larger platform deals. Momentum for cloud is also shifting. I feel good about the anticipated uptick in larger platform deals in 2021 and 2022. The opportunity is encouraging and the conversations that I'm having with many of our largest clients validate the conviction of the opportunity. However, to accelerate this pickup, it will require greater integration between our Altus Analytics' offerings, a reframe of our go-to-market and product marketing strategy, as well as a shift in our sales execution to sell on value. I believe there's also an opportunity to reframe our customer value proposition and how even we bundle and package our offerings across the company, many of which are currently maintained, sold and priced separately. Clearly, a high priority is getting our customers on the cloud. Like with all cloud migrations, it will be key to get over the hump on customer adoption. There's an opportunity to accelerate this with a network effect by targeting the influencers and early adopters, not unlike what the team did when they migrated from the ARGUS user base to ARGUS Enterprise. This remains a key focus for 2021. As mentioned, customer satisfaction is an important pillar, and I think we can take direction from the feedback of the survey we'll be commissioning as a baseline of where to go. On the product development side, the future is cloud. Cloud gives us an opportunity to scale, improve our speed to market, as well as for opportunities in some high value workflows and adjacencies that will drive a lot of value for our industry and clients. While instinctively prioritize organic growth, and believe that much of our success will be organic, we'll consider acquisitions and partnerships in our buy or build evaluation. Approximately two-thirds of our software sales continue to come from existing customers, a trend that's been sustained for many years, speaking to the cross-sell and up-sell opportunity that remains, approximately 80% of our Altus Analytics' revenues are still coming from North America. Yet we know that Europe and Asia-Pac combined represents a way bigger opportunity and the market. We'll double down on these opportunities with a focused sales approach and an agile product roadmap to maximize cross-sell and up-sell opportunities, and reduce our cost to serve our customers. And when I think of Altus as a whole, while the team has done a great job, adding technology across the organization, to tech enabled many of our services, I think there's still a lot of complexity here. We'll be looking at how we optimize our current use of tech platforms and digitize some of our processes. All to say, while there's a lot of work to do, we're on the right path and we're building on a very solid foundation. A lot of heavy lifting is now behind us. And by 2021, we'll be getting past the growing pains of the transition. But there remain untapped opportunities to enhance and optimize our operations to consistently operate within that Rule of 40 framework and that's where my near-term focus will be. Going forward, we're in execution mode and have control over the many opportunities I see ahead to get us to the promised land. All of this reinforces my excitement. I look forward to having more to share with you in February when we publish our annual results and take you through our strategic priorities for 2021 in greater detail. As I start to wrap up, I wanted to thank our customers for their continued commitment to Altus and congratulate our employees on strong execution during a personally challenging period. The next few months are going to be busy, but we will be focused on delivering the best year Altus has ever had and getting ready for an exciting 2021. Okay, let's open up the lines for questions now. Operator?
Operator: Certainly. We will now take questions from the telephone lines. [Operator Instructions] And the first question is from Yuri Lynk from Cannacord Genuity. Please go ahead. Your line is now open.
Yuri Lynk: Hi. Good evening, everyone.
Angelo Bartolini: Hi, Yuri.
Mike Gordon: Hi, Yuri.
Yuri Lynk: I don't know who wants to take this one, maybe Angelo, but you know, great Altus Analytics' results given the macro situation out there. But you know over time revenues have been flat now for about three quarters. The growth trajectory that you guys laid out at the Investor Day last year that gets you to your $400 million of revenue in 2023. You guys are starting to drift a little bit below that the trend to get there. So have you thought about walking back that revenue target at all? And if not, how do we inflect from here, which is essentially going to be flat revenue to a path to $400 million by 2023?
Angelo Bartolini: Yuri, this is Angelo. At this time, we're definitely not changing our 2023 targets. COVID has had an impact as we've you know, said in our prepared remarks. We're slightly behind where we thought we would be at this time, just given the impacts over the last couple of quarters. That we, you know, we continue to have good visibility in terms of our pipeline, the discussions we're having with our clients are extremely positive. And we just see multiple ways of getting to the targets we set out in 2023. So, yes, it's, we have been sidelining up a little bit, we have some parts of our business that are actually outperforming our expectations, you know, such as the Appraisal Management. But there definitely is the areas that we pointed out on the point in time revenues. And then quite frankly, on the SMB side of things that has scaled back a little bit so far, and some of these larger deals are taking a little bit longer to close. But as we've said, you know, we've got a few right now that we're looking at in this quarter and into the New Year. So at this point in time, we're feeling good about things. I think as Mike outlined, we're going to come back in February and provide more clarity around our 2021 objectives and provide a little bit more clarity, I'll say around 2023. But Mike would you like to jump in?
Mike Gordon: Yeah, yeah, sure. I think, I mean, as I've gotten a chance to look at the business and look at the pipelines, one thing I'm happy with is, that they're steady. And talking to a lot of other leaders in our commercial real estate, I know that, you know, these are definitely some challenging times. So I feel very good of what the team is doing right now. I realize the challenge ahead and I think that as I discussed one of the focuses that we will be looking at in 2021 is, how do we adjust our go-to-market, adjust how we package our products, adjust how we interact with our customers to bring that back and get to the point where we achieve the goals that were set out in the Investor Day for 2023.
Yuri Lynk: Does the key really just start seeing some of the larger clients which I understand have a longer sales cycle to see some of those make the conversion to get the revenue base growing?
Mike Gordon: Yeah, I think that's the base strategy about getting people and getting customers in the SMB business on early was our strategy, because it lays the foundation. Our focus is going to be starting to shift and we've had a number of discussions with some of our largest customers in the ARGUS world and we will be very much focusing on them later this year, hopefully, early next year and every quarter thereafter. I think that you know. A, the sales cycles are a little longer. B, the questions and the bars are a little higher when it comes to like how they're leveraging the products and C, we need to make sure that they understand and they feel comfortable with the functionality and the roadmaps we're putting together, which I think is all starting to come together for a fruitful move in 2021.
Yuri Lynk: Okay, that's all guys. I'll turn it over there. Thanks.
Angelo Bartolini: Thank you.
Operator: Thank you. The next question is from Richard Tse from National Bank Financial. Please go ahead.
Richard Tse: Yes. Thanks, Mike for those insights here. As far as your comment on a greater integration, I was wondering if you could maybe comment on whether that requires incremental development efforts on the part of the company that sort of bring those together?
Mike Gordon: Greater integration within the Altus Analytics business or within Altus Analytics and the Tax business?
Richard Tse: Within the Altus Analysts business, sorry.
Mike Gordon: No, no problems. I just - from my end, a lot of it is when I look at our businesses and how they operate today, they do cooperate very well. But some of it is we're trying to work with our sales methodology and our focus on how we handle some of our largest customers, and how we go to sell. And most of the investment that we make is really in our go-to-market. Our products are following the roadmap, our customers have told me that we have very good products. And so I believe we have the right products in place. So now it's really being able to bundle price effectively, and really hit the value propositions that our customers are looking for. And you know, that, to me is a combination of a number of things that's, you know, a great tech platform and what we have in our solutions, it's some of the great value-added services that we have. And then you know, we're starting to do more work with them around how they can use data for decisioning. And to me, those three things are where we're going to be focusing our time with our customers as they move to the cloud, but as to large scale investments onto the platform, we have a good investment moving now and we continue to foresee that that will be where we focus.
Richard Tse: Okay. And I guess your comment on reframing marketing sort of ties into that integration of all, am I right?
Mike Gordon: It does. I look at marketing and go-to-market and sales is one and the same. I think that they are two things that get off each other. And again, I think it gets back to making sure your customers have a high degree of satisfaction with what you're offering, how they're looking at things and you know, I look at Altus as being incredibly important to the ecosystem of our customers. And so it's really ensuring that our space is adding value to those guys.
Richard Tse: Okay, okay. And then just, you know, I don't know if this is a fair question, because you've only been in the job for 45 days. But if you look at the past few years, you know there have been acquisitions as part of this growth strategy, like, how are you thinking about that? Are you primarily focused on sort of making these operating changes that you talked about just now?
Mike Gordon: It's not an unfair question. It's a good question. I, you know, I think, listen, we, I'm a big believer as I said about organic growth, I believe as a business, if we can continue down the path of the organic growth that we've had. Angelo talked about us having a record year this year, that's a great thing and we focus that on for 2021. As to acquisitions, I have - in my past lives, I have always looked either at build or buy when it comes to trying to move into an adjacency or trying to augment or accelerate something that we need to do. My guess is that, there will be some acquisitions coming down the road that will help us get into some adjacencies, because our customers are demanding that of us. And I believe that they start to make sense when I think of our entire business being about valuation for our customers, so no doubt that there'll probably be an acquisition or two.
Richard Tse: Okay and just one last one for me. Aside from COVID, if you sort of look at the larger customers today, what do you think, based on your discussions with them are as the gating factor here for them to make that transition?
Mike Gordon: I think they want us to solve more of their problems. I think when the conversations I've had are twofold. Number one, one of the reasons why we're going to adjust our go-to-market is, we have too many people talking to them and we need to align that a little bit more closely to like having one person conduct how we do business with those larger accounts. So that's the first thing on just go-to-market. The second thing is, we've been talking to them about, you know, where we fit on investment management and how we look at that. I think that's a great strategy. We're having more workshops now, my team has told me than we've had in the past about how that works. And we need to align that investment and the management vision with what our customers need. So I think what you see is, as they want to move to the cloud, they're thinking holistically how they're going to use our services, how they're going to leverage our technology, and how we will steward their data so that they can make better decisions. I think those three things are usually part of the conversations we've been having with them. I think they get excited when we start to talk about how we can apply our thought processes, whether on services or analytics around this. And I think that's where a lot of the conversation is happening, so they can see that additional value we can bring. So that - it's a little bit longer sales cycle, but I think it's one that's going to be fairly worth it for them.
Richard Tse: Okay, that's great. That's really helpful. Thanks.
Operator: Thank you. The next question is from Stephen MacLeod from BMO Capital Markets. Please go ahead.
Stephen MacLeod: Thank you. Good evening.
Angelo Bartolini: Good evening.
Mike Gordon: Hey, Stephen.
Stephen MacLeod: Hi. I just wanted to follow-up a little bit. Mike, thanks so much for all the color you gave on your outlook for the business and your initial thoughts. I think it's really helpful. I just wanted to follow-up, you know, you talked a little bit about in February, you'll be talking more about the 2021 objectives. And you alluded to it in the last question with respect to, you know, going to market and adjusting products. I'm just curious, is there anything, you know, specific that you've found that isn't working? Or is it more that you know not as just things aren't working, but I just want to - just trying to get a sense of where the motivation is coming from in terms of adjusting, you know, whether it's the go-to-market or the product mix? You know, or is it just about, you know, accelerating that from where you are, more like the company was before you came into it?
Mike Gordon: Now that - Stephen that's a fair question. You know, the best thing about coming in during budgeting, you get to spend a lot of time with the company to look through every lever of the business and getting underneath the covers of everything. So, you know, what I tell you, it's twofold. It's, one, is ensuring our alignment. You know, sometimes when you're moving quickly, sometimes that alignment gets off. And I think that the team has been working very hard and very fast. And I want to make sure that our go-to-market resources are aligned as they talk about all the great services we have, especially on the Altus Analytics' side, and they can really bring the power of what we have for, you know, for the software services and what we bring to market even around data in Canada. The second thing is, it is about that acceleration. It's, you know, it is about that sense of urgency and that sense of purpose. I think that we have a great opportunity to help shape this industry going forward. And, you know, I came from the financial services sector, where I was in software and solutions. And this feels a lot like what happened in 2008 and 2009, and what was happening there in the next two to three years, I think there's going to be fairly good adoption for a lot of the solutions that we're talking about right now. Whether it's, you know, the valuation solutions that we do, whether it's, you know, how we ingest data, how we curate data or how we show, you know, the information back to the users who are using it so that they can make decisions. My view is on the acceleration, I want to make sure that we are front and center with our customers on that. And I think from the perspective that I've seen, when I've looked at the business, I think we have a lot of solutions that I don't really think, you know, we are giving enough focus to with our customers. And I think that's where the some of the adjustments will be. So if I had to answer again, just to summarize, alignment and acceleration.
Stephen MacLeod: Okay, that's helpful. Thank you. When you talk about the larger users, and there's some wording in the MD&A, that you're talking about larger users sort of initiating, had begun to initiate their moves to ARGUS Cloud in Q3. Do you have any more color on that you can give around the process that they're going through that may be evolved in Q3? And what insights you have into timing around moving, you know, up from the SMBs to the more larger-sized enterprises?
Mike Gordon: I think what as people have kind of now started. I mean, I realize COVID is coming through its next wave. But I think as people have learned to live with the state, we're in right now this new normal. They started to think about what they need to be doing in their own investments over 2021 and 2022. And so we started seeing, you know, it may be early to talk about green shoots, but the inquiries that we've been getting about the cloud and what we're doing with it, and where the roadmap is going, has certainly started to solidify further. And, you know, from my perspective, that's where they're starting to ask the questions on how this fits towards their entire valuation strategies. And so this has been a lot of period of time and talking to them about, you know, as we're using our advisory services, how can they leverage our solutions even more fully or software solutions more fully? In the past, we might lead the software. But now we're sort of leading a little bit with advisory, you know, and the software is coming. I think as we talked to our customers, they are definitely engaged in trying to find new ways to do their business and improve their business models. And that's where a lot of our discussions are going. So back to your questions on when we will start to get to a, you know, we'll start seeing progress with this. To be honest, I'm very hopeful that we'll see some progress before the end of the year with some of our large customers. I would - but I definitely see next year being a year that we will be very focused on that. And that I would say that Q1, Q2 will start to see more customers coming on assuming we are in the same world we are right now. And so that's my goal.
Stephen MacLeod: Great. Okay, thank you. That's also helpful. And then maybe just one last final one, more tactical. But is there any way you can quantify and maybe Angelo has this number? How much pull forward you had from Q4 into Q3 on the Tax business?
Angelo Bartolini: Well, I don't - I'm not going to provide an exact number. But it was pretty significant. You know, I'd say that, you know, like, if you're looking at consensus estimates, there's a significant part of that, that we pulled in from Q4, I mean, you know, we were expecting in that space to have more of an impact with the ability to close on, you know, with some of our appeal files with the jurisdictions and we were able actually to bring them in earlier. We had a great quarter, as I said earlier, in the UK, so that we saw, you know, settlements are very high there, as well as in the US and Texas, in particular, where they had been dragging out in - from Q2. And our expectation was that it would take, you know, take a substantial part of the remainder of this year. And we saw a good part of it coming in, in Q3. So hopefully that gives you some sort of, you know, idea, Steve.
Stephen MacLeod: Yeah. That's helpful, great. Thanks, Angelo -
Mike Gordon: I think -
Angelo Bartolini: Okay, thank you -
Stephen MacLeod: Thank you very much -
Mike Gordon: I think, I'm sorry, I think I would add to it. I think that when I've been talking to Angelo and the team, I think we're comfortable with the FY 2020 tax consensus out there.
Stephen MacLeod: Okay. That's great. Thanks. Thank you, guys.
Operator: Thank you. The next question is from Paul Treiber from RBC Capital Markets. Please go ahead.
Paul Treiber: Well, thanks and good afternoon. Mike, you spoke about Europe and Asia as a large opportunity. What do you think the company has been missing for the last couple of years that's been a straining adoption outside of North America? And what's the plan to address that?
Mike Gordon: I think from a standpoint of, again, I don't want to keep beating the drum on go-to-market. But I think we have our different businesses that have gone out into new areas or new jurisdictions in the world and they've done it somewhat independently. And where I want to spend some time with them is, we have a lot of great resources in this company. We have a lot of great resources from software and we have a lot of great resources from the people who do the business for our customers. But we're, again, it gets back to that alignment, we're not using our heads to solve solutions in some of these markets. So one other things as we continue to shift things around, we'll be focusing a little bit more on a regional model. And as a result of using that, we'll make sure that we have the resources more aligned to leverage the solutions together. It's something that I saw back in my days in FICO. And it's, you know, a lot of times, you know, as you're moving into new jurisdictions, you really need to think about your partners, your staff that you have there, all the different things and how you coordinate the sales together. I think what I heard from our global customers, they absolutely want us in those jurisdictions, they would like to have us play a role in helping them normalize the data around their assets and normalize the valuation around their assets across the world. So I think we're getting strong demand, now we have to be able to serve that demand in the right way. And so that's where I think - that's I think the major shift that we have to make.
Paul Treiber: And, you know, now that you've been, you can see under the hood of the company, you know, one thing that Altus say, it does have two fairly distinct businesses, Altus Analytics and then the CRE Services business or CRE Consulting. Do you see synergies from a data and software strategy between those two businesses? And how do you look to execute on that if you do see them?
Mike Gordon: So my short answer is yes. I think that when I look at where both businesses operate is in a very close ecosystem with each other. We saw Valuation Services and we perform valuation functions for our customers. And a lot of the data that our tax guys are doing, they are pulling ARGUS filed with our customers to help support the work that they do. And so, there is an alignment of software, as well as data that I think will align these businesses further in the future. And that gets back to the digitization I've talked about with tax, I think there's some work there that we can really build a very strong solution when it comes to valuation, by leveraging our tax team along with - and aligning it a little bit more with Altus Analytics. I realized the practitioners in both businesses are going to continue to do what they need to do. But I think that, you know, in the world in which our customers are really looking to us to provide solutions, I think there's a good opportunity in the software and data across both units.
Paul Treiber: And lastly, for me, in Altus Analytics from a product point of view, you talked about the need for greater integration between the products. Do you see any key gaps in the product portfolio that perhaps you could address over time?
Mike Gordon: You know, I think that, I mean, I would say I've gotten a good review of the roadmap right now. And I've been spending time with the teams and the roadmaps. I think from a perspective of getting those pieces aligned, I think we have a pretty good set of solutions. You know, one, we have a great valuation engine in ARGUS Enterprise, Voyanta and Taliance fit in very nicely nearby, I think there's some things that we probably need to do in the debt space. Our customers are asking us to, you know, we do a lot in the equity space, but they would like us to be able to align debt and equity together. So there's probably some work that we'll be doing on that. But I think that the remainder of like 2021 on the roadmap will be really to bring out a lot of good core functionality that you'll see us put on the cloud, because that's what our customers are demanding right now.
Paul Treiber: Okay, great. Thanks for taking my questions.
Operator: Thank you. The next question is from Deepak Kaushal from Stifel GMP. Please go ahead.
Deepak Kaushal: Hi, guys. Good evening. Thanks for taking my questions. I've got a bit of a hodgepodge. I'll try and keep them short. Mike, you know, you mentioned you took a survey in the competitive market in your earlier remarks. I'm wondering if you can note and it's hard to probably talk about, but any vulnerabilities you've seen or any potential competitive gaps in the market that might be new to us that [indiscernible] for long?
Mike Gordon: No, I think what we're doing is. we're - we've definitely looked competitively, what we're going to be doing as a customer survey. And so that's going to be something that we're getting in more just on our client, on our customer satisfaction. So if I misspoke, I would apologize on that. I think as the competitive market out there. Listen, I think right now there's a lot of useful - there's a lot of people running to the data market. Everybody I've met in this business, whether their competitors or their customers are talking about themselves with data companies. And I had ability to be on a panel with several of my peers a couple of weeks ago. And, you know, I think that the major thing that we have is, we're all trying to - we have to be more aligned as you use data, that's one of the things that the financial services industry got right is, they got the alignment down and there's different people in different parts of the ecosystem where people are trading data back and forth. So I think what you'll see from us, is you're going to see us do more on opening up our APIs, making it easier for us to use our business - our solutions on the cloud, so people can move data back and forth, that is something that our customers have asked for. So that will close the gap. I think that you'll also see the way that we leverage the data that we have, we're going to steward that for our customers, it's their data and our job is to steward it and make sure that they get as much as they get as much out of it as they can. But one thing where I would say that is going to be something that we will definitely invest in, as we go forward is, there's definitely a need and this comes back from the space I came from, there's definitely a need for more analytics in this space. Some forward-looking thoughts, things for things are moving faster. Now, given with what COVID has happened, and I see the velocity changing. So while you capture the data, it's how you really have to manage the velocity of what's coming at you and how you need to use that for decisioning. And I think, you know, that's something that I think we're uniquely set up for. And that's something that we're all be focusing on to help close that gap for our customers as well.
Deepak Kaushal: Okay. And just to follow on that, when I think of the ERP players in the space, are they competitors, are they partners? Are they your system players? How do you -
Mike Gordon: They're both, you know, I think, you know, I've gotten a chance to meet a number of them and God, they're - they do a lot of great things out there. And I can see what they're trying to do. And you know, but at the same point, we're starting to partner with them to make sure that we open up the APIs between our systems to make it, again, easier for our customers to do work and do business. I think that's the right thing for our customers. So I'm sure that might open up some competition or like, I will say, open up some competition, but I'm also assuming at the same time, it'll improve some partnerships that we have. So, you know, I kind of you know, that's kind of how I look at them. You know, I will - I've already had some nice messages from them welcoming me to the game. I'm looking forward to working with them. And, you know, I'm sure that there's going to be times we're going to compete.
Deepak Kaushal: Okay. Well thanks for taking my questions. I'll leave it at that and look forward to seeing you soon.
Operator: Thank you. [Operator Instructions] There are no further questions registered at this time. I'll turn the meeting back over to Mr. Gordon.
Mike Gordon: Thank you for that. It's been great to have you guys on tonight. And it's been great to talk about the business as we see right now. I would like to thank you all for coming. I look forward to working with all of you in the near future and continuing our conversations. And I wish you all a good evening. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference call. Should you have further questions, please contact Camilla Bartosiewicz at Altus Group. We thank you for your participation and ask that you please disconnect your lines.